Executives: Paul Robert Stewart - President, Chief Financial Officer, Principal Accounting Officer, Treasurer and Director Michael Weinstein - Founder, Chairman and Chief Executive Officer
Operator: Greetings, and welcome to the Ark Restaurants Third Quarter and 9 Months 2014 Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Mr. Bob Stewart, Chief Financial Officer. Thank you. Mr. Stewart, you may now begin.
Paul Robert Stewart: Thank you, operator. Good morning, and thank you for joining us on our conference call for the third quarter ended June 28, 2014. With me on the call today is Michael Weinstein, our Chairman and CEO. For those of you who have not yet obtained a copy of our press release, it was issued over the Newswire yesterday and is available on our website. To review the full text of that press release along with the associated financial tables, please go to our homepage at www.arkrestaurants.com. Before we begin, however, I'd like to read the Safe Harbor statement. I need to remind everyone that part of our discussion this afternoon will include forward-looking statements and that these statements are not guarantees of future performance, and therefore, undue reliance should not be placed on them. We refer everyone to our filings with the Securities and Exchange Commission for a more detailed discussion of the risks that may have a direct bearing on our operating results, performance and financial condition. I will now turn the call over to Michael.
Michael Weinstein: Hi, everybody. This was a quarter that had a lot of stuff in it. First of, all, it was the first full quarter that we had the Rustic Inn in Florida. We own the Rustic Inn. We own the property, the buildings and the operation. And that is a very strong restaurant operation. It is more than meeting our expectations. One would have thought that given the addition of that and the strong operating profits, that we would have a better quarter. Rustic affects us in several ways: It added in the quarter a significant amount of volume, but it runs at a very, very high food cost. Typically, we have food costs here that run for the company around 28%, 29%, 30%, depending upon the quarter. Obviously, with more efficient with food costs when we have good weather and our outdoor cafe seats are in use. But Rustic runs in the high 40s. It is a high-ticket but a high-value operation, and that affects our numbers in terms of cost of goods sold dramatically. In this quarter, it added probably 1.2 -- excuse me, about 2% additional percentage points on our food costs line. Without Rustic, however, our costs are up about 1.02%, I think the number was. So we are facing price increases at the wholesale level. We have not, as of yet, raised prices to reflect them. We're waiting to see where the -- where prices settle. But there is definitely cost pressure, which was part of the story of this quarter. The other area where there's cost pressure is in payroll expense. We are under new labor laws in New York State, Washington, D.C., Las Vegas, where minimum wages have increased. As well as New York State has implemented regulations requiring us to pay sick leave whether a person's sick or not. I think there are 6 days. There's something called spread of hours and other regulations, which have increased our labor costs in New York significantly. Also in this quarter, we spent a lot of money on maintenance. So our expenses related to other operating costs and expenses are somewhat influenced by unusual maintenance expenses, particularly in Washington, D.C. So we had this elevation of costs that, to some extent, are a little bit unusual. But labor costs certainly have gone up, and they're going to stay higher. And food costs, while I think they will settle down, they'll probably settle down at a number somewhere between what we're seeing now and what we used to see. There's definitely cost plus -- cost push inflation. On the revenue side, we did well in New York, but we did not do well in Las Vegas, which -- where we lost EBITDA. We did well in Washington, D.C. We were ahead about 2 percentage points in Washington. We were ahead in Boston. The big influence, another big influence on operating profits is Florida, where these 2 hotels, 2 Hard Rock casinos, in both Tampa and Hollywood have changed their marketing policy and have eliminated comps from the food court area, which are the 2 areas we run in those 2 hotels. And that has dramatically decreased our sales by about 35%, and the profitability of those 2 operations are greatly attenuated by that. We're still profitable. It's still a good business deal. But everybody would be happy returns, but we have these outside -- outsized returns for a long time, but that seems to have ended, at least for the moment. So all in all, it was a quarter in which, exception of Las Vegas, sales were okay. We were comping up in most places. Costs were greatly affected by regulation in payroll and higher food costs and higher maintenance costs. The addition of Rustic Inn will be a big plus to this company. And the expansion of the Rustic Inn will hopefully be a big plus. We, during the quarter, acquired a restaurant in Jupiter, Florida about 60 miles north of the Rustic. We think the brand is strong. [indiscernible] a couple hours of Rustic, people do travel to get there. We have a really lovely waterside property with 600 seats that we were able to lease at a very good rent and bought structures with very little money. We don't have to put a lot of money into it, so it's a good opportunity for us to try and see if that brand can travel. With regard to the Meadowlands, legislation in New Jersey of to create a casino license for the Meadowlands seems to be moving in the right direction. There's more talk. There's more meetings. The goal of the state legislature's agenda seems to be to try to put in place some legislation that would go for reference [ph] in the fall of next year. That is ahead of what we perceive to be the schedule we had in mind for our own investment, so that's looking quite good. Right now, if you would like, I open up for questions.
Operator: [Operator Instructions] And gentlemen, it appears we have no questions at this time.
Michael Weinstein: Okay. We look forward to speaking to everybody next quarter. Thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time, and thank you for your participation.